Operator: Good morning. My name is Sia, and I will be the conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions] 
 At this time, I would like to turn the conference over to Bill Ruisinger. Please go ahead, sir. 
William Ruisinger;CFO & Treasurer: Thank you, Sia. And welcome to our fourth quarter 2020 earnings call. Thank you all for joining us this morning. Before we get started, I'd like to remind all of you that some statements made during this call may be considered forward-looking and that various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. 
 These factors are discussed in our Form 10-K and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of operations for the fourth fiscal quarter and year ended July 31, 2020, as required by our senior secured bonds due 2025. Therefore, we will not be discussing or responding to questions regarding our leverage situation or upcoming debt maturities.
 Despite significant economic and operational uncertainties in the U.S., the company produced exceptionally strong results through the end of fiscal 2020, leading to a $35.6 million increase in operating income or 32% growth over the prior year and set a foundation for continued growth in fiscal 2021. 
 Due to warmer winter weather and the slowdown in the economy, the gallons of propane sold for the year were 873.5 million compared to 904.8 million last year. However, these decreases were partially offset by a continued increase in residential demand resulting from 3% retail customer growth as the company continues to aggressively seek market share.
 Additionally, Blue Rhino sales locations increased over 8%. Margin per gallon for the year was $0.07 or 9% higher than the prior year, attributable to strategic product placement, sound supply chain logistics strategies and lower wholesale propane prices. 
 Overall, the increase in margin and increases in tank exchange volumes and customer growth were partially offset by decreased industrial and commercial sales volumes due to the slowdown of the economy.
 This has resulted in an increase in gross margin dollars of $36.4 million. Operating expenses increased due to the growth of new customers, but also included a $17.3 million reserve for bad debt related to Bridger, a non-core acquisition that has now been divested.
 Additionally, the $35.6 million growth in operating income was complemented by a $38.4 million or 35.3% decrease in capital expenditures as the company focused on the utilization of existing assets and negotiated lower steel prices. 
 For the quarter, the net loss attributable to Ferrellgas Partners LP was $70 million or $0.71 per common unit compared to prior year's fourth quarter net loss of $71 million or $0.72 per common unit. 
 Adjusted EBITDA, a non-GAAP measure, increased by over $35 million or 15% compared to prior year. For the fourth quarter, adjusted EBITDA was $26.7 million compared to $4 million in last year's quarter, resulting from the previously discussed initiatives. 
 The company has numerous initiatives underway to increase efficiency and profitability. These initiatives helped to produce strong results in the fourth quarter and enabled continued high-performance in the areas of growth and operational expense management. 
 Strong execution by a leaner and more agile workforce of essential workers is driving high-performance throughout the company, both in the field and in corporate locations.
 Successful transition of essential workers from a corporate workplace to a technology-centric work from home environment, decreased various general and administrative expenses as well as travel expense throughout the company. 
 Lastly, our continued commitment to safely serving our over 700,000 customers while adapting to the ever-changing circumstances and new operating protocols, to help protect the health and safety of our customers and employees remains our top priority. 
 As previously announced, the company has indefinitely suspended its quarterly cash distribution. Additionally, as the company continues to evaluate options to address its leverage, the company does not intend to comment further on its progress in this regard or on potential options until further disclosure is appropriate or required by law. 
 I'll now turn the call back to the moderator, but before I do that, as mentioned in the announcement for this call, any additional questions may be submitted via our Investor Relation's e-mail box at investorrelations@ferrellgas.com. Thank you. 
Operator: [Operator Instructions] 
 Okay. And there are no questions at this time, sir. 
William Ruisinger;CFO & Treasurer: Okay. Great. Thank you. Have a great day. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. You may now disconnect.